Operator: Good day, ladies and gentlemen. Welcome to the Victrex Interim Results Meeting May 2025. [Operator Instructions] I would like to remind all participants that this call is being recorded. I will now hand over to the CEO of Victrex plc, Jakob Sigurdsson, to open the presentation. Please go ahead.
Jakob Sigurdsson: Thank you, Gavin. Good morning, everyone, and welcome to Victrex's first half year results presentation for 2025. I'm Jakob Sigurdsson, CEO; and I'm pleased to have with me today, Ian Melling, our CFO; and Andrew Hanson, our Director of IR. This is a virtual meeting, and a copy of our presentation is on our website at www.victrexplc.com under the Investors tab and by clicking on Reports and Presentations. And also briefly, in terms of format, we'll be calling out the slide numbers when we are speaking. I will start the presentation with our key messages and a summary of the results materials. Ian will then cover the financial detail, and I will then subsequently look at and summarize the business performance and our outlook. And finally, we'll leave some good time for questions and answers. So on Slide 4, key messages. I'm going to turn first to Slide 4 before I do that, just Slide 2, ever so briefly for those investors who are less familiar with Victrex. Last slide had a good summary of who we are, what we do and the attractions of investing in the company. I'll also cover the investment case for Victrex at the end of the presentation. So key messages on Slide 4. We had a strong and continued volume momentum in the first half with 16% volume growth, including 14% growth in Q2 year-on-year. This was mainly driven by Value Added Resellers, but also good growth in Aerospace, Electronics & Energy, and Industrial. I'll come back later with a summary of performance by end markets. Secondly, Ian will cover the financial summary, but PBT was flat in constant currency with a sizable headwind in the first half and a mix impact as well as some initial start-up operational challenges in our new plant in China. We're very pleased to have seen a major commercial milestone in our Magma mega-programme. And this is a very important underpinning through and moves closer to a significant growth opportunity for us that we've been working on for quite some time right now. Reflecting the headwinds that we have seen in the first half, we do have help and improvement actions -- self-help and improvement actions in place to drive better outcomes. These include cost actions, but also Project Vista and how we go to market. And this certainly has been helping us in the first half year in Sustainable Solutions. Finally, on cash, very strong cash conversion at 128%, and Ian will summarize the drivers of that and the performance in the financial area a bit later. Now over to Ian for the financial summary.
Ian Melling: Thank you, Jakob, and good morning, everyone. Before moving to the financial summary, I wanted to reference the table on Slide 5, where we also summarize the volume and revenue performance by each division and the group level. An important change here is that we now report our Medical division revenues to cover both implantable that's in the body and non-implantable outside the body businesses. Previously, non-implantable revenues were reported through Sustainable Solutions. With some new and emerging applications in non-implantable, going forward, we will report all medical business together under the Medical division, which also makes it clearer for investors. It should be noted that the ASP for Medical will vary somewhat based on the implantable, non-implantable mix and revenue per kilogram is not the best measure of performance in our high-value medical segment. Moving now to the income statement on Slide 6. As we noted, half year volumes were up 16% to 2,018 tonnes, driven by Sustainable Solutions and with good momentum continuing into the second half at this stage. As Jacob mentioned earlier, this was our first 2,000-tonne half since the second half of 2022, supported by some of our self-help actions, in particular, as we started to see some initial go-to-market improvements in our sales and customer-facing teams coming through in terms of winning business. Revenue was up 5% at GBP 145.9 million or 8% in constant currency. Revenue growth is lower than the comparable volume growth, reflecting the Sustainable Solutions and Value Added Resellers, particularly drove the majority of our volume growth in H1. I'll come back to sales mix shortly. Currency also weighed on our first half revenues with the corresponding gain from currency hedging of GBP 2.2 million, as shown on the chart. Sustainable Solutions revenue was up 6%, with Medical revenues down 1% and divisional P&Ls are shown in the appendix on Slide 28. Moving on to gross profit, which was 4% lower than the prior year at GBP 64.3 million. In constant currency, gross profit grew by 3%. We did see a less favorable sales mix during the year at group level and divisionally, with the key drivers on gross profit also reflecting currency, the benefit of improved asset utilization in our polymer production plants, lower raw material costs and the adverse impact of the ramp-up in our China plant, which we have signaled along with some initial and temporary operational challenges. I'll come back to this on a later slide. A brief word on higher asset utilization. We signaled in our announcement that this year, we'll see production volumes being more closely aligned to sales volume with an approximately 20% increase in production volumes based on our current plan. This drove a GBP 2.6 million tailwind from better asset utilization in H1. Remember, we are still unwinding inventory this year closer towards GBP 100 million, but we are also producing more as sales demand has improved in a number of end markets. Our raw material costs saw some benefit in H1 '25 as we guided at approximately GBP 2.2 million. We are also focusing hard on procurement savings as one of our key self-help actions. Gross margin was down 390 basis points at 44.1%, with approximately 2/3 of that or 260 basis points being directly attributable to annualized China costs and the initial operational challenges in our new manufacturing facility there. We have action plans in place addressing the initial challenges, which should allow us to move to more beneficial production and begin the journey of offsetting this headwind. Mix and currency were the other key items impacting gross margin, and I'll summarize those shortly. Turning to overheads. Overheads for the half were up 5% at GBP 40.3 million, up 4% in constant currency, excluding the impact of exceptional items. Excluding wage inflation and accrual for our employee reward schemes, our overheads were broadly flat. We have noted previously that we are focusing on much more limited increases to operating overheads going forward after a period of investment. Interest was an expense of GBP 0.8 million in the half, reflecting interest from our China loan being expensed. It was capitalized in the previous H1. Remember, our China manufacturing facility started up in the second half of 2024, so costs continue to annualize in the first half. Interest is forecast to be approximately GBP 2 million for the full year. Our underlying profit before tax was GBP 23.2 million, down 17%, but flat in constant currency. Reported PBT was GBP 17.2 million, up sharply as our exceptional items were materially lower at GBP 6 million. These comprise the ERP system investments and some business improvement costs aligned to Project Vista. We did guide to exceptional costs for the full year being in a GBP 5 million to GBP 10 million range, and we're not changing this guidance with lower spend expected in H2. Underlying earnings per share of GBP 0.226 was down 16%, in line with the movement in underlying PBT. Reported earnings per share was GBP 0.174, materially ahead of the prior year, again driven by the lower exceptional expenses. A brief word on our tax rate. Our effective rate was 21.2%, some 320 basis points lower than the prior year, but still above the midterm guidance we have given of 14% to 18%. This is largely driven by the lower proportion of profits being eligible for the patent box rate when absolute profit is depressed. Turning finally to our dividend. We are pleased to maintain the interim dividend of GBP 0.1342 per share. I'll come back to cash flow later and how our cash profile should continue to improve as we move through the next 1 to 2 years. On Slide 7, we show the underlying year-on-year PBT movements, some of which we have already touched on during my summary of the income statement. Walking through the key movements from left to right, Sustainable Solutions saw a GBP 1.8 million year-on-year improvement net of price and mix. As we covered earlier, VAR was a key driver of first half growth. Pleasingly, we did see good progress in other end markets, including in Aerospace, Electronics & Energy, and Industrial. Jakob will cover the end market performance in his summary. Medical was a year-on-year profit decline of GBP 0.5 million, with the divisional sales mix in Medical reflecting good growth in non-Spine but Spine declining as the effect of destocking and some of the volume-based procurement challenges in China continued. Asset utilization was GBP 2.6 million movement as previously flagged, together with the raw material benefit of GBP 2.2 million. I'll come on to the initial operational challenges we faced in our China facility, which we are acting on, but the majority of the movement here was the expected annualization of the cost base, which was a year-on-year impact of GBP 3.7 million. Wage inflation and employee reward comprised a GBP 2.2 million negative movement. Currency was the balance of the movement with a GBP 4.6 million year-on-year impact in the first half. If we move to Slide 8, price and margin. Whilst like-for-like pricing was robust across end markets outside of VARs, mix and FX were the key drivers on our half year average selling price. ASP of GBP 72.3 per kilogram was down 10% and below our guidance of GBP 75 to GBP 80 per kilogram, driven primarily by mix. Mix impacted us both between end markets where VAR saw the strongest growth, but also within end markets where the growth came in lower average price applications, for example, in Energy & Industrial, where the lower-priced energy volumes grew faster. It's important to stress that like-for-like, i.e., same customer and product pricing formed only a small portion of the overall ASP declines, and this impact was heavily weighted to the more price competitive VAR market. ASP in constant currency was down 7%. A quick word on ASP guidance for FY '25, where we are reflecting the greater contribution from Sustainable Solutions and end markets like VAR, together with the picture of Medical. Consequently, we're now guiding to a range of GBP 72 to GBP 75 per kilogram for ASP in FY '25. Coming on to Slide 9 and the gross margin movement in more detail with the year-on-year decline totaling 390 basis points, but being explained by several key elements. As I signaled already, mix impacts from both Sustainable Solutions and Medical totaled 250 basis points of gross margin movement in the first half. Better asset utilization added 170 basis points of margin with raw materials adding 120 basis points. China was the largest individual impact on gross margin at 260 basis points, so around 2/3 of the overall year-on-year decline. Our gross margin, excluding China manufacturing, whose sales were immaterial in H1 would have been 46.6%. Currency was also a driver of gross margin movement at 170 basis points, reflecting the headwind we saw in H1 and which we will see for the remainder of FY '25. Looking forward, improved asset utilization will remain positive in FY '25 as we expect to produce more. I signaled earlier, our production plan looks for an approximately 20% increase in volumes year-on-year with sales volumes remaining strong. Raw material pricing also remained supportive. We are targeting an improved gross margin in the second half, helped by these 2 factors, but also mix improvement from Medical as the Spine business starts to stabilize and other areas of Medical continue to drive growth. So gross margin guidance for the full year is now 45% to 47%, below our original guidance, driven primarily by mix and China manufacturing. A quick word on currency on Slide 10. This slide shows the impact of currency hedging as shown on the face of the P&L in line with IFRS 9. Obviously, the offsetting currency impacts on underlying trading are embedded in other lines, most significantly revenue. In the first half, we saw a GBP 4.6 million headwind at PBT level, and we are guiding to an GBP 8 million to GBP 9 million impact on a full year basis. This was largely the strengthening of sterling through the prior year, particularly against the dollar, which has continued with current effective rates, including the impact of hedging being at $1.29. We've also seen sterling strengthen against the euro with the latest FY effective rate, including hedging impact of EUR 1.16. Currencies we hedge are the dollar and euro, but it's worth noting some unhedged Asian currencies are becoming of greater importance as our growth moves faster in those regions. We keep our hedging policies under review in respect of these currencies. Looking forward, it's important to flag that with sterling continuing to strengthen, FY '25 remains in line with our guidance at approximately GBP 8 million to GBP 9 million PBT headwind after hedging with FY '26, a small headwind at current rates of approximately GBP 2 million to GBP 3 million of PBT. Around 40% of our hedging is in place for FY '26 at this stage, so that number can change. On Slide 11, we cover cash. We're pleased to move beyond the period of heavy investment in capacity and capability. Consequently, with investment now coming down, we do see an opportunity for further improvement in cash flow over the next few years. Looking at the main movements. Firstly, from operating profit or PBIT of GBP 24 million, we saw a higher level of depreciation as our China facilities came online in H2 '24 and were therefore not in the prior year H1 depreciation number. Depreciation was GBP 12.6 million compared to GBP 11.8 million in H1 FY '24. Working capital was an inflow of GBP 2.7 million, driven in part by our continuing inventory unwind. Capital expenditure was materially lower at GBP 8.6 million versus GBP 21.8 million in the prior year. On a full year basis, we are getting CapEx towards the lower end of our guidance, i.e., around 8% of revenue for CapEx. These items drove a strong operating cash flow performance with operating cash flow of GBP 30.7 million compared to GBP 18.1 million in the prior year and an underlying operating cash conversion of 128% versus 64% in the prior year. The net outflow of income tax totaled GBP 3.5 million, similar to last year. Cash exceptional items of GBP 6.9 million related primarily to our ERP system and Project Vista costs. I'll touch on the ERP shortly, but we're pleased to say this was launched and is in place to support enhancements of our business processes as well as increased digitalization. As a result, free cash flow was substantially higher than the prior year at GBP 22.5 million versus GBP 8.8 million in the prior year. On dividends, we maintained the FY '24 final dividend, representing the GBP 40.1 million shown on the chart here. Our closing position saw us with a lower net debt position versus the prior year H1 of GBP 40.7 million, including cash and cash equivalents of GBP 25.4 million. On our RCF, remember, we paid back our RCF drawings during the last financial year, though we did draw on this facility to the level of GBP 15 million in the first half of this year. Slide 12 covers China. And whilst we're pleased this new manufacturing facility is operational, having come online in the second half of FY '24, we have experienced some initial and temporary operational and scale-up challenges. This has affected our products. Remember, our China plant is a portfolio extension with a different grade of PEEK versus our U.K. assets, Type 2 PEEK. But we've quickly implemented an improvement plan and expect to fulfill all customer deliveries during the second half as planned. This will mean lower volumes this financial year, closer to 50 tonnes compared to the 150 tonnes to 200 tonnes guidance we gave. Consequently, the profit impact will be approximately GBP 2 million higher than the guidance we gave originally. It's worth taking a minute to recap on the longer-term strategic value of this facility. Firstly, it's a key strategic asset and an important geographic expansion for us in underpinning the growth opportunities across a number of end markets, VAR, Auto and Electronics primarily. Secondly, remember, some of our VAR customers established facilities in China themselves. We are there to support and share in their growth, and there remains significant growth programs to capture in this region. Moving to Slide 13. One of our key messages in this set of results was the self-help and improvement actions we have put in place during what has been a challenging time for all chemical companies. These are not just cost actions, but proactive actions to improve our front-end go-to-market approach with customers, Jakob will cover some of these in his section, but I'd like to briefly cover the key actions. These include a recruitment freeze for all but priority roles, a focus on account management and sales incentives that drive the top-line, very tight discretionary spend. Capital spend has come under additional focus whilst ensuring we prioritize safety-related investments. As I mentioned earlier, this has meant that SG&A costs were broadly flat, excluding wage inflation and employee reward. We continue to expect -- sorry, we expect to continue this discipline in the second half. I'd like to add a quick word on digitalization. Our Microsoft D365 ERP system was launched successfully in Q2. The project is not just a standard ERP system, but includes wider tools such as improved CRM, people management and asset management. It will, of course, support business processes, but it will also support digital and AI tools to engage and collaborate more effectively with customers through R&D and technical service and ultimately also provide us with better business intelligence and data. In summary, a good start, and we're looking forward to maximizing the efficiency gains from technology over the coming years. To conclude, on Slide 14, I'd like to summarize our guidance, which mirrors our outlook statement within our announcement. Firstly, on volumes, whilst there is more uncertainty in the macro environment since the turn of the calendar year, particularly in light of the global trade situation, the strength in volume in the first half and continued momentum into H2 means we're upgrading our volume guidance to high single digits for the year. This upgrade moves from mid-single-digit volume growth previously. We are targeting an improvement in Medical during the second half. We know that medical device industry consensus has spoken of a midyear recovery coming in the wider industry, which would equate to our Q4. Remember that non-Spine did grow in the first half, but we do need to see a broader Medical recovery elsewhere. Visibility, however, does remain low in this end market. Selling prices I have covered previously, which reflects some Medical improvement, supporting an improved sales mix in H2 versus the first half for GBP 72 to GBP 75 per kg. Turning to gross margin. We're guiding to 45% to 47%, reflecting the continuing improvement in our U.K. asset utilization and raw materials easing, offset by the incremental impact of China, as I covered on the previous slide. OpEx costs, we've kept tight control and cost discipline with targeted innovation spend. We will see additional costs from the employer National Insurance come through in the second half, and these amounts to around GBP 1 million annually. CapEx and cash flow, I've already covered, leading to our summary of a target for substantial growth in the second half underlying PBT compared to the first half -- given macroeconomic uncertainties and the headwinds we have covered in our outlook statement, which we expect will ease as we move into the next financial year, we have a range of possible outcomes for profit and are targeting PBT similar to the prior year in the second half. For the full year, this equates to driving some underlying PBT growth in constant currency, remembering that currency is an GBP 8 million to GBP 9 million headwind for the full year. In summary, whilst we're mindful of the uncertain macro-outlook right now, volume momentum remains positive, and we'll come back in our Q3 update in early July with a summary of how we are performing versus this guidance. With that, I'll hand back to Jakob.
Jakob Sigurdsson : Thank you, Ian. On Slide 16, we cover the summary of our volume and revenue performance over the past 6 quarters, so since the start of FY '24. As you can see on the charts, run rates have been steadily improving, which is good to see. And we are seeing sustained volume momentum at this early stage in the second half as well. As many of you will know, Victrex does have the usual seasonality in the first quarter, so October through December. But we saw our first half still the same over 2,000 tonnes, which is something we haven't seen since the end of FY 2022. So what's been driving this momentum? Well, firstly, normalization of demand post-destocking in several end markets, particularly in Electronics, in Energy & Industrial and a very strong recovery in VARs. Secondly, we've seen some initial benefits from the Project Vista and go-to-market approach that has allowed us to run our sales force more effectively. That includes how we've been adapting our sales force through the use of new technology, more regional focus, in particular, as well as stronger key account management. I'll come back to this on a later slide. On Slide 17, go-to-market approach. So we've been working hard on self-help initiatives, trying to improve the outcomes as best we can, focused on controlling the things that we can control, mainly through a tight management of costs through Project Vista, which is focused on improving how we go to a market, improving our sales effectiveness and moving to a regional approach that I referred to before, but also greater deployment of digital solutions with customers, allowing us to showcase the value of PEEK for their requirements. We also target greater effectiveness in our R&D and innovation process. These include much greater use of in silico and digital modeling approaches, which is starting to open up more opportunities for us and closer collaboration with customers and allowing us to answer their questions and help them solve their problems faster. Few, if any, companies have more data on all the steps from making PEEK and its precursors through deployment in various complex and conservative demanding applications as the effective use of digital tools, we're able to leverage this amount of data to the greatest extent. Regionally, we not only have a greater regional focus for our sales team, but we're increasing our penetration in other geographies as well, either directly or through growing our network of distribution partners. This includes China, South America and the U.S. Finally, on our commercial pipeline, we did see an increase in our mature annualized volume by 26% year-on-year, and this is based on the pipeline targets for both Medical and Sustainable Solutions. On Slide 18, turning to Sustainable Solutions. Good volume progress in the sector. The volumes up 16% and revenues up 6%. Starting with Aerospace, another good performance, and we continue to see build rates growing and new applications opening up as well. The former helping particularly from Boeing, we saw a 56% increase in deliveries as it relates to planes in Q1 calendar versus Q1 in the prior year. This was around 130 planes delivered in the quarter compared to 83 in the last Q1. Airbus was slightly lower year-on-year for the same period, but we're also getting the benefits from the COMAC business in China. They are now targeting to build up to 50 planes this year compared to the previous guidance of 40 planes. I think we've reported as well that our content on the C919 is around 300 kilograms of plane. Our volumes were up 7% in Aerospace. I'd also like to mention the growing opportunities in Advanced Air Mobility, a really strong fit for PEEK-based composites. Manufacturers are looking for lighter, more durable materials that are recyclable. This was an $11 billion market in 2024 with projections of growth to over $70 billion over the next 10 years or so. So Victrex has been winning business here, and we'll update you more on that this year with having some additional contracts in place already in this area. Turning to Automotive. Volumes down 4% in the half. It is worth noting that we did see some restocking benefit in the prior year, hence making the comparison a bit tougher. Car build for 2025 is now forecast to be 2% up on 2024 by S&P. But clearly, the outlook in Auto is tough at the moment, tougher though in the West than it is in the East. We do have good E-mobility business, and you note the collaborations in this area, particularly with the 800-volt motors where PEEK is used [indiscernible] so that was just a fire test. Apologies for that. But I was speaking about the 800-volt area, where PEEK is now used to coat the wire in a very tightly on applications rather than using enamels that have been the standard in motors that operate at a lower voltage. We're guiding to a similar revenue for our E-mobility programs this year. It's worth noting in this context that the center of gravity for Automotive business has been shifting towards Asia in recent times from being around 40% back in 2018 to now being around 60%, half of that in China, 1/4 of the automotive business being in Japan and 5% in Korea. So it looks as if we are in tune with the way where auto production is actually moving further east. Turning to Electronics. Electronics volumes were up 17%. We've seen improvement in semicon as most other companies have. IDC estimated 11% growth in semis for 2025, driven by AI and increasing penetration of chips and devices, though we are mindful of tariff impact on the global environment, particularly in this area. Semicon remains around 1/3 to 1/2 of our Electronics business, again, with AI increased memory and PEEK being used both in the CapEx part and the OpEx part of the semicon process. If you look at smart devices, it remains a good business for us. IDC also estimates that smartphone shipments to grow around 2.5% in 2025, driven by 5G and AI-enabled handsets. So this is something supporting PEEK content in a handheld device. Remember also that PEEK is a good play in devices, including our optic film with thin films supporting the heat durability and quality requirements for a range of smart device brands, particularly in small space acoustics. Moving on to Energy & Industrials. Volumes up 15% at the half year. In context, rig count was actually down around 10% year-on-year. But with the U.S. policy changes supporting increased exploration, then there is clearly a growth opportunity here that is coming through our top-line. In the Industrial space, still a mixed picture here. I think we're all looking at PMIs around the world and the industrial -- or the industrial split here is strongly correlated with that. PMI still being around 50, just above 50 in the U.S. and China, but with the Eurozone, a bit of a mixed picture, but still in general, below 50, even if there's been a slight improvement post the actions from particularly the German government in the early part of this year. Finally, in Value Added Resellers, volumes are up 30%, but we are mindful that the outlook can change quickly here as well. Remember also that in VARs, this is a relatively small number of companies, so processors and compounders who take our peak extruded into rods and sheets for onward processing. It's a relatively low touch business for us, limited R&D, but heavy reliability on quality and the security of supply and must appreciate as such. It's interesting to note that over previous cycles, VARs have been known sort of as a canary in the coal mine. In other words, when things head into recession, they have usually led the way as they've done out of recessions as well. What we're seeing here is a very strong first half, moving to a normalized demand level in the second part of the year, and which probably guides to similar kinds of volumes half-on-half. Slide 19, white space opportunities. We do want to signal some new opportunities we're working on, which will generate short and midterm growth. PFAS is a strong theme here. This is now becoming a sizable pipeline for Victrex as concerns around PFAS continue and companies prepare themselves in several industries for finding alternatives. Applications for us include cookware, cabling and other areas. Medical is also an area where we are signaling some new white space opportunities, partially based on PFAS replacement, but also in other areas. Whilst we've spoken of PEEK in hard terms, Skull plates and Knees and Trauma plates, emerging opportunities are now being pursued in pharma and non-implantable applications as well. Why would PEEK have a value proposition there? Well, it works very effectively in the body. It is durable. It is inert, excellent resistance properties, biocompatibility and slippage properties as well. That, for instance, don't allow blood to stick to it. On Slide 20, on Medical, I want to provide a reminder on what's really been happening in the past 5 years or so and putting it the whole movement here in context. So in the years of 2021 to 2023, medical device companies were faced with quite a bit of backlog post-COVID. The mantra at the time was never to miss a surgery. And during that time, many of them really went from what used to be a just-in-time kind of inventory policy into just in case because nobody really wanted to miss a procedure. Then that led to quite a bit of stocking in that whole chain, all the way from their Tier 2s, Tier 1s through the inventory levels that they themselves were holding and all the way down their distribution chains, which are actually pretty long. In 2023, there was a change of tides, 2023 to 2024, where inflationary impact started to kick in and the focus increasingly turned to the balance sheet in these companies and also wanting to try to return to pre-COVID margins. And the mantra changed. And even if we've seen that from time to time in previous times that medical device companies do pare down their balance sheet, never had we seen almost all of them do it at the same time. And then that led to the destocking cycle that we have been seeing across the industry up until now. In this current year, obviously, we are monitoring the industry and the demand profiles in a variety of different ways using a variety of different techniques. And we're seeing some good progress in the first half for non-Spine applications. Non-Spine half-on-half this year grew 22% from the levels that we saw in 2024. Spine is yet to recover, but we're seeing early signs of Spine recovery in a number sort of starting to trickle through right now, and that will have a more significant impact as we go through the remainder of the financial year. Just in summary, Medical revenues are stable, 1% down half-on-half. Non-Spine now 75% of our business, Spine 25%. And as I said, really good growth across non-Spine. And then all in all, a stronger and more diverse platform for growth that will have a significant impact on us in the next 3 to 5 years where the mix will be changing disproportionately towards Medical as a part of our overall revenue base. Moving on to Slide 21, Magma. This is a composite pipe for the Energy industry. TechnipFMC's hybrid flexible pipe is based on our materials and qualification based on Victrex PEEK. Hybrid flexible pipe is 50% lighter than steel and water. Hybrid flexible pipe is based on Victrex, Victrex composite tape and our extrusion know-how for the pipe that we have licensed to TechnipFMC. The signature of the ETECH contract that was announced last week was a key milestone for us. And Technip through that has secured a technological order from Petrobras in Brazil. The fundamental value proposition is associated with solving an existing problem, which is stress corrosion cracking in the environment of high sour gas and CO2 content in the reservoirs have been causing some of these challenges. What does this mean for Victrex? Well, firstly, it's a long-term opportunity for volumes, which should start to tick up from 2026, subject to the final commercial road map and milestones agreed between Technip and Petrobras. In volume terms, every and each 6-inch pipe offers approximately 8 tonnes of opportunity for PEEK. With some 8-inch pipe expected to be used to, this could be around 12 tonnes of PEEK per kilometer, which is obviously a significant upside. We have an exclusive contract to supply Technip. And remember, it's Victrex PEEK that the qualifications are based on. Clearly, the shape of the ramp-up is between Technip and Petrobras, but we envisage some volumes next year and several phases of ramp-up thereafter. Just ever so briefly on a topic that is consuming a processing power these days, and that's tariffs. Victrex has an exemption for most of our portfolio from incremental tariffs. If you view the White House exemption list, you can see the list of product exempt. So limited impact on the direct impact from tariffs other than the existing 6% tariffs for PEEK from the U.K. to the U.S. As we known on this slide, most of our competitors are either selling from Asia into the U.S. or dependent on Asia sourced monomers from Asia. So that creates a paradoxical picture in terms of the overall benefits or penalties from tariffs. But also remember that our own China plant is now -- is not exporting. It was built with a view of China for China. And also briefly now on the outlook. I think Ian summarized our guidance earlier, which in summary, sees us to be optimistic for Aerospace with a neutral to optimistic view for most of the other markets. Auto, we are cautious on given the uncertain macro and tariff impacts and the impact that, that can have on both consumer and corporate confidence, even if the news of this morning are relatively positive in this context. At volume level, we are upgrading the guidance to high single-digit growth for the year. For profit, we're targeting substantial PBT growth versus half 1 with H2-on-H2 PBT target as being similar, reflecting the uncertain environment. The headwinds flag on the sales mix, Medical and China. This means that for the full year, we do expect to deliver at least some constant currency PBT growth. PPT, remember that FX is a headwind of around GBP 8 million to GBP 9 million for the full year. Last but not least, the reasons to invest in Victrex, really attractive end market positions. We have a broad PEEK portfolio. We are well-aligned to macro drivers in several end sectors, be it Aerospace, Auto, Medical, Electronics or Energy. Leaders in terms of innovation, and I think we've shown that through the years that we are market makers, and we work on creating markets and find new use cases for PEEK, and we've been successful in that. That leadership position creates a sustainable competitive position, sometimes protected by IP, other times protected by know-how or a long journey of communication that in some sectors, we are now starting to come to fruition based on some of our mega-programmes as referenced by what just happened last week on the Magma program. Committed to self-help. We do go through cycles as every business does. We have gone through a few more cycles, greater frequency in the last 5 years than we probably have seen in the entire history of the company. But the key thing there is to focus on what can you do to control the controllables, use self-help to become more efficient and strengthen your value proposition as well. Strong financial position, very strong cash conversion as we saw in the numbers for the first half. We have made the foundational investments that will serve the business well over the coming years, whether that's in hard assets for production or in human capital to be able to support our customers in the introduction of new products. Sector-leading return on invested capital coming from the trough that we've seen on the back of the investment phase and can view a trajectory towards 20% plus over the longer-term. And we have been able to offer continued shareholder returns with a robust dividend policy and an expanded capital allocation policy as well. So very strong foundations focused on controlling the controllables over the trough of the cycle, but never losing sight of the horizon in terms of preparing the company for future growth opportunities. With that, I think we'll open it up to questions from the audience.
Operator: [Operator Instructions] We'll take our first question from the line of Jonathan Chung of Morgan Stanley.
Jonathan Chung: I've got 2 questions, please. So the first one is on your guidance. So you upgraded your volume outlook, but reduced your China volume expectation. So keen to hear your thoughts on which end markets are you seeing better growth outlook in your order book already? And my second question is also on your guidance. So again, you increased your volume outlook, but then you lowered your ASP guidance. So are you expecting to give away some prices to gain volumes in the second half? Or is that something you have done in the first half already?
Jakob Sigurdsson: So on the sectors, I think [indiscernible] briefly I think Aero will go from strength to strength. So we're expecting good growth in Aero in the second half on the -- compared to the first. Auto, we're a bit more cautious than we were. We had a modest decline in Auto. We're still cautious on Auto for the remainder of the year. We are seeing sort of a normalization of demand sort of in -- on the VARs side as well. Energy & Industrial is expected to be very strong, and we're expecting medical implantable to be strong in the second half as well. So the caution flags, Auto part of the VARs business and Medical non-implantable, the other sectors should see a good improvement half-on-half, sort of roughly on the qualitive side -- qualitative side, sorry. Ian, as it relates to the mix and ASP.
Ian Melling: Yes. Thanks, Jonathan. I appreciate the question. So in terms of our ASP guidance for the full year and what we saw in the first half, what we're really guiding to is a continuation of what we saw in the first half. I wouldn't say we're giving away price to bring in business, but there is price pressure out there in the market. If I look at our ASP decline in the first half, it was primarily driven by mix. Mix was over half the ASP decline we saw in the first half. FX was over 1/4, which left just the remaining portion, less than 1/4 in terms of like-for-like price. So there is some price pressure out there, but it's far more evident in the VAR space. So the more competitive, less differentiated business is where we see -- where we have seen some price pressure in the first half. We've obviously been successful in terms of keeping and winning business in that space, which is positive for us. It's a good profitable business, but there is some price pressure in that space. And really, the guidance we've given for the full year just reflects the continuation of what we've seen in the first -- in the first half. No real incremental gives on prices, in particular, I think we'll remain pretty robust in terms of like-for-like price across the business, but we have seen a mix shift towards VARs and the scale of that in H1 means that they're just that has to come through to the full year as well, even if we do see a little bit of Medical recovery and a little bit of a shift towards other applications away from VARs in the second half, helping to just boost that ASP a little bit in the second half versus the first half.
Jonathan Chung: Can I just add a clarification question please, on your -- in your opening remarks, you mentioned China volume will be lower to 50 tonnes from 100 tonnes to 200 tonnes, but then the impact on profit will be positive GBP 2 million. Could you just elaborate on this, please?
Ian Melling: No, sorry, that's my mistake if it came across that way. So it's a GBP 2 million headwind to profit versus our original guidance in terms of the China manufacturing start-up challenges that we've had. So that's an additional GBP 2 million headwind. In terms of China, it's important to note, we have had a strong first half in China as a whole. The headwinds we're talking about relate to our plant in China and the start-up and sales of volumes out of that facility, which we're bringing down in terms of our full year guidance.
Operator: Your next question comes from the line of Aron Ceccarelli from Bernberg.
Aron Ceccarelli: I have 2, please. The first one is on ASP again. If we exclude for a moment the mix impact and we look at a different application where you saw stronger volume growth such as VAR, Electronics and Oil & Gas, was the pricing here up in one of these end markets? Or are you still seeing price decline despite the double-digit volume growth? And how should we think about the second half of the year, please? The second question is on China. Perhaps can you explain a little bit or give us more color on real world, what has been the issues? And how do you think to solve this in the near-term?
Ian Melling: Thank you. Yes, I'll take the first question in terms of pricing. apologies if I repeat something I've already said, but I think it is important we're really clear on that. In terms of the end markets, I don't think we're seeing huge pricing pressure in terms of prices coming down for the same application that we've been in previously. We did add more volume in lower-priced applications in general. So I would point particularly the Energy & Industrial space, where we added more volume in Energy in the Oil & Gas side, as you mentioned, that is typically at a lower ASP than the overall Energy & Industrial space. That's not new. That's kind of always been there, but it was a factor in terms of mix in the first half. As I've said already, the one place where we did see some pricing pressure, and we did see pricing coming down a little bit that drove a little bit of our ASP decrease less than 1/4 was in the VAR space where we have seen a little bit of like-for-like pricing, and that's really in response to competition in what is a less differentiated space. But in the more differentiated spaces where we've got spec'd in products, then we -- it has been more of a story of maintaining prices during the first half. I don't expect to see a significant change in the second half in terms of like-for-like pricing. A lot of our business, as we talked about before, is contracted. So I wouldn't expect to see significant price swings going from the first half to the second half. Mix is the piece that can change a little bit. As we've said, we do expect the full year mix to now, given what we've seen in the first half, be more weighted towards VARs with slightly lower-priced applications, but the guidance that we've got indicating a small improvement in ASP in the second half is mainly based on slight mix improvements, including slightly higher Medical proportion and also a slight shift away from VARs in terms of proportion of the total in BSS.
Jakob Sigurdsson: And on the China side, polymerization and the early steps of the process have been going very well. We have been having teething problems with the back end of the process, which is mainly around various steps of refining that has not been consistent enough. But now I think we have got through the root cause of that, and we're getting stable outcomes from that, which then allows us to start to sell on an ongoing basis. We did not want to obviously jump start sales before having that back end of the process fully up to our quality standards. Now that we have that, we should start to see a more steady sort of demand buildup from that plant. But we had some, I would say, teething issues on the back end of the process, particularly associated with the refining steps.
Aron Ceccarelli: And can I just confirm, is the China business going to address just the value-added reseller customers? Is that correct?
Jakob Sigurdsson: We could say the foundation of the base load is really based on Value Added Resellers. But we do see significant opportunities into other areas. Electronics has always been a large business for us in China. And with everything that is happening around E-mobility in China these days, that plant is exceptionally well situated to satisfy some of the demand that we have generated in that area. Interesting to put in perspective that in terms of the share of our volumes in Automotive, China has grown from being roughly 10%, 11% back in 2018 to be around 30% of Automotive mix these days. And having the plant there able to serve that will put us in an even better position to grow that business over there.
Operator: Your next question comes from the line of Chetan Udeshi from JPMorgan.
Chetan Udeshi: Maybe just coming back to current trends. Some of the other chemical companies have talked about sort of a wait-and-watch approach from customers, the pause, smaller order size. Can you talk about what you are seeing right now in your volumes and order book? The second question is -- I'm sorry, this is a difficult question, but we've had almost every quarter now for the past year or so, we've seen numbers coming down because of mix. I'm just curious at what point does that mix become more something more structural underlying factor, which where mix might just be an excuse to some extent? And the last question is, can you talk about how you are thinking about your dividend? Because last year, you had a payout ratio, which was over 100% and really it will be -- if you keep the dividend for full year unchanged, it will be even higher. At what point do you think you might have to reflect the earnings pressure you see today in your dividend?
Jakob Sigurdsson: So I think I'm happy to address that, Chetan. And as it relates to the current trends, clearly, everyone has been a little bit apprehensive as of late. In some cases, over direct tariff impact and really direct tariff impact is not such a big issue for us. I think everybody in our world and certainly ourselves would be more concerned about derived impact of tariffs, particularly on consumer and corporate confidence, if you wish. Maybe today's news are giving comfort to some in our cases, but it's clear that tariffs going on and off will be a transitory thing to deal with and navigate. And we're very mindful of the uncertainty that comes along with that. And hence, a slightly greater amount of caution than otherwise would have been in our outlook for the remainder of the year. If we look at it sort of sector-by-sector, we are expecting to see continued growth on the Aero side. Aero was in good growth for us in the first half. We're expecting to see that continue. Auto, we are quite cautious about the second half year even if S&P are forecasting 2% growth. I think we are quite cautious as it relates to our assumption for the second half. Compounders actually have been good for us as has been shapes. So those collectively make up Value Added Resellers. And on the shapes side, we're expecting a normalization in demand and maybe not a stronger first half as we saw -- stronger second half as we saw in the first half, the compounders are looking to be strong for the remainder of the year based on specific projects that are in that pipeline. Electronics, we're expecting it to be roughly in line with the first half. Energy & Industrial, based on some gains that Ian referred to, we're going to be expecting a good second half there and a growth half-on-half for sure. And the Medical, with the growth that we've seen in non-Spine applications and recovery in Spine, the second half should be quite a bit better than the first. So that gives you a color of the key assumption here. Clearly, visibility is not great. It never has been really, but there has been this continued moment in the sectors that I sort of spoke about. And as I said, the key sort of abatement factor right now will be a normalization of demand for shapes, which then clearly starts to impact the mix as well. And that sort of backs up your second question or brings up your second question around the mix. I mean these are just the facts. And as I said in my opening remarks, it's highly unusual to see the phenomena that everybody has been observing in the medical device industry. In other words, seeing such a widespread destocking take place over such a long period of time as well. Now that has not happened before, and it clearly has had a long and sustained impact on the mix, and the margins, but I do think that we're starting to see the roll out of that and getting into a more, you could say, normalized composition of demand as we head into the second half and into 2026 as well. Now on dividend, I'll hand that over to Ian. And by the way, those explanations around mix are not excuses to some extent. I mean these are just the facts, and I think they're explained by phenomena that we certainly have never seen in our entire history. Yes, we have seen medical device companies go into destocking and cleaning up their balance sheet one at a time at certain points in time, but never have we seen the industry as a whole doing that. And clearly, with the weight that the Medical business carries with us, it's not a surprise that, that has this kind of an impact. And I will also say, Value Added Resellers and Ian articulated that very well, it's an important sector for us. It is value generating, but it is the lowest price one and then inevitably has the impact on margins. And you know as well, Chetan as well. So you can certainly relate to the canary in the coal mine comments that I mentioned, whereby we know that they lead the way on -- the way out of recessions, but they also lead the way into recessions. So I think we would be expecting to see a return to a more normal mix going forward. And actually, over a longer period of time, Medical will be an even greater part of the mix than it has been in the past. And then that gives you a point for the margin trajectory that you should be expecting, not just over the short-term of the cycle, but over the longer-term as well. On dividend, I'll hand it over to Ian.
Ian Melling: Thanks, Jakob, and thanks for the question, Chetan. Clearly, I acknowledge your observations on earnings pressure on the dividend. The Board obviously keeps a close eye on earnings in terms of our dividend policy. But cash is another important factor in it, and we had a very strong first half on cash, as you've seen, 128% cash conversion more than covers the interim dividend. So the Board was comfortable maintaining that interim dividend, and we'll come back to the full year dividend in due course. But I think we do have the expectation now that we can drive strong cash flows with lower CapEx in particular. There's still a little bit to go in terms of inventory reduction over the second half of the year. So we are making progress in terms of strong cash flow and that that helps to support a dividend in times of earnings being a little lower. I think it also reflects the Board's confidence in terms of growing earnings in the future. So that's where we are on dividends. We've also got share buybacks in the armory if and when we've got excess cash to return as well, and we're conscious of the attractiveness of those at the current share price. So yes, that's where we are on dividend, Chetan. I hope that helps.
Operator: Your next question comes from the line of Vanessa Jeffriess from Jefferies.
Vanessa Jeffriess: From GBP 25 million to GBP 35 million target this time last year to GBP 25 million in December and now above GBP 10 million. Just wondering if you could explain the change a little bit there.
Jakob Sigurdsson: Sorry, Vanessa, we didn't hear the first part of your question. Could you just repeat it for us?
Vanessa Jeffriess: Just on the mega-programme target going from GBP 25 million in December to now above GBP 10 million.
Ian Melling: I think in terms of mega-programme target, it's clear that the -- from a -- it's a mixed story across the mega-programmes. We're still very confident of the long-term application opportunities here. The number -- the ramp-up of that does vary, and we are, to some extent, hostage to our customers on that. We see changes in market application, and we see movements in the -- in those development pipeline. So I would say the -- the biggest impact in the half year has probably been a little bit of slowdown in E-mobility overall. So E-mobility, the rates of adoption in -- globally on E-mobility have come down somewhat in terms of expectations. And we are seeing that impact our E-mobility expectations for the full year. Medical, I think Trauma has not seen the growth we were hoping in the first half. We do expect that to recover somewhat in the second half. But I think that's really a kind of more of a customer issue with our customers and working through some of those issues. It's not a problem with the product or anything to do with our ability to deliver at this point. And then Knee continues to make good progress, but it's pretty early in the story. So I think that's the overall sense in terms of mega-programmes. I don't know if you want to add anything, Jakob?
Jakob Sigurdsson: No, I think they are all now gotten to a stage of being significantly more mature than they were a few years ago. But Ian is right. We are also dependent on the time lines of our customer base. I do think it is comforting to see that in all of these our customers or our customers' customers are starting to spend significant amount of money to pull this technology through. And when you're dealing with disruptive technology, that's the sign of the fact that you have solved the technical challenges associated with a disruptive idea. You have proven that they do offer a great enough set of economic incentives to be adopted. And I think we can see that on all of these 5 key programs. Magma, we saw what happened which is sort of the ultimate manifestation of this largely in the contract between Petrobras and Technip, where that technology is really unique in terms of its ability to solve real problems on a large scale and the 2 parties starting to spend significant amount of money to pull that technology through and will create a long and sustainable source of revenues for Victrex and leverage some of the assets that we have been investing in over recent years to be able to give confidence in our ability to satisfy the demand needs in that area. Trauma, Ian mentioned on E-mobility, no question that we're incredibly aligned here to a long-term trend. In 2030, I think S&P, I'm quoting the right source, is expecting 15 million, 1-5 million cars to be operating on 800-volt platform. And on average, 200 grams used to coat the wire in each motor. So that's a 3,000 tonne overall opportunity for PEEK. And on the Aero, when you start seeing more fuselage sections of Airbus A320 emerge based on your materials technology with materials being qualified for all the Airbus ecosystem to use that technology to see the uptick with COMAC on the 919 and then subsequently on the 929 and the general trend towards thermoplastic composites very often mostly based on LMPAEK, which is our innovation protected by IP, then that gives you real confidence in the long-term value proposition there. And I alluded also to new contracts that we have been signing in the Advanced Air Mobility space, which will sort of further support that. And we've seen our run rate in Aero going from month to month. Quite a bit of mega-programme. And then on Knee, we're expecting the first commercial approval for Knee in the coming weeks in India and expecting to start the first clinical trial in the U.S. with the first patients to be implanted in the next couple of weeks or so.
Ian Melling: And just to be clear, Vanessa, we do still see a step-up in revenue coming this year. It's not -- we mentioned a step-up towards our target of GBP 25 million in December, and we do still expect to see a step-up in mega-programme revenue this year year-over-year.
Vanessa Jeffriess: So I guess all that being said, would you expect in '26 to reach the GBP 25 million target? And also just on that, I noticed that in your release, you've added this line in your capital allocation policy about M&A focused on technology for the mega-programmes for the first time. Is there something that we should read into that?
Jakob Sigurdsson: So on the M&A side, I think in the past, Victrex was very focused on acquiring skills and capabilities to deliver the burden of proof. In all cases, not necessarily to say in the long-term, but more looking at it as a catalytic thing to develop a market and prove that PEEK could work in certain applications. It took different shapes and forms. In Magma, we acquired an equity stake and the actual strategy was selling it to a strategic that it indeed happened in due time. And through the equity stake, we were able to catalyze the development of the technology that I think now is and will provide us with a substantial volume growth for the future. All of these things were done with the balance of acquiring skills and capabilities, in some cases, with a view of exiting, in other cases, stay in certain applications for the longer-term. I think there is an opportunity for us to look at complementary technologies in high-performance material areas going forward. But again, I should also state that we will be very mindful of the fact we're not doing anything that is not accretive to shareholders in so doing. But it is clear that there are opportunities given the know-how that we have for what it takes to perform in certain difficult applications, but there is potential opportunities to maybe add to our range of offering in certain areas.
Ian Melling: Yes. And just on the mega-programme, target, Vanessa. I don't think we're going to come out with our '26 guidance right now. We'll save that for the end of the year. But there are reasons to be optimistic in terms of the growth of mega-programmes going into next year, not least driven by the Magma announcement that we saw next week -- last week and a step-up in volumes there.
Jakob Sigurdsson: More milestones to come is probably the message.
Operator: Your next question comes from the line of Kevin Fogarty from Deutsche Numis.
Kevin Fogarty: Just a couple, if I could, please. Just on Medical, just to clarify you're thinking in the second half of the year. Just, I guess, the sort of point on some of that kind of recovery coming through what is you're seeing currently from customers in what areas? It feels like sort of Spine might be seeing some sort of recovery there, but kind of picked up back from the presentation. But just really, what are you seeing in terms of the degree of confidence, I guess, just in recent weeks would be quite useful there. And if you can add any color in terms of pricing just across that portfolio and the difference there would be quite useful. And then just sort of coming back to the Magma announcement last week. Is it sort of early '26 when you start to get an idea of how fundamental that could be or the difference that could make next year and in terms of the kind of ramp-up there? And then just finally, if I could ask one on China. Is there any sort of cash needs we should now think about? Obviously, a lot of the CapEx having been spent, so I'm something about kind of inventory investment, et cetera. Is there anything material we should be thinking about there over the next 12 to 18 months or so?
Ian Melling: Good. Okay. Thanks, Kevin. Let me try and make a start. So in terms of Medical in the second half of the year, so what we saw in the first half was really quite strong growth outside of Spine. So the first half was, if you like, 2 factors. We have Spine going backwards, declining in the first half and the rest of our Medical portfolio growing strongly. So that's across other applications, arthroscopy, CMS, active implantable devices, cardiology, all those areas we saw good growth in the first half, but Spine was going backwards. I think we see those trends somewhat continuing in the second half, but with an abatement of the Spine decline. So we've got good reasons to think that Spine can start to stabilize a little bit. Partly it was a weaker second half for Spine last year already. So you've got a slightly easier comp. But also, I think we've got some signs that some of those headwinds in Spine, some of that destocking, which I think has been most pronounced in Spine is starting to come to an end. I'm not suggesting that Spine is going to bounce back to stellar growth overnight, but I think there are reasons to be optimistic that we can start to head in the right direction in Medical overall going forward, and that's kind of the basis of our steer. So that's the overall picture in Spine. In terms of ASP, I think you asked on Medical as well. So we have a range of ASPs in implantable medical. Obviously, non-implantable medical is low still. in implantable medical, there are higher ASP applications, which tend to be the lowest volume per procedure. And then you have a lower ASP typically still significantly higher than our group ASPs, but a slightly lower ASP than the medical implantable average in the larger volume applications, which is, for example, an example that would be CMF, where you lose a lot more PEEK in one procedure than you do, say, with a spinal implant or an active implantable. So that's the sort of range. There is -- is there price pressure in Medical? There's always a little bit of price pressure, but we're pretty good at holding on value -- basing our pricing on value and holding on to that pricing and having good constructive discussions with our customers. I would say the one place we do see a little bit of price pressure in Medical and have done over the last year or so, which hasn't helped our number has been in China Spine, where the impact of VBP and the reduction of prices to the end in terms of the -- at the hospital from our customers means that there's been more pressure from our customers to reduce price in the China market for Spine than there has been typically in Medical. So we have seen some price impacts in China Spine in particular, which isn't helping our Spine growth and our Medical growth overall. But hopefully, we're through most of that now and starting to annualize. So that's another reason why Spine will be less of a drag in the future. I think those are the first 2 questions. Jakob, [indiscernible] China --
Jakob Sigurdsson: I'll take, Magma. So basically, Kevin the contract that was signed is a technological order and it's used by Petrobras and it's a form of a public procurement basically aimed at developing innovative products or services. And it enables the Brazilian government to stimulate innovation, provide initial funding and then subsequent direct procurement of the technology or the service. So it opens the way for interaction and for commercial sales into Petrobras. And I think it's sufficient to say that it has sort of changed the momentum in the game. After this was finally sealed, I think the challenge on the table right now is how quickly can we get through the final stages of qualification. We feel really, really confident about that. There's only a couple of modules left, and they are running with a destined endpoint in October and February, respectively. But already, I think people are anticipating successful outcome of those and are looking for how capacity can be built in Brazil to satisfy the demand that is down there and the problem that needs to be solved. And what each and every party is willing to put at stake, particularly between Petrobras and TechnicFMC to be ready in position to supply. Right now, there is a capacity constraint in terms of making the pipe itself. Currently, it's made in Portsmouth, and there's a limited amount of capacity there. Ultimately, there needs to be assets put in the ground in [AGQU] in Brazil by Technip to satisfy Petrobras' needs. And then that sort of defines the shape of the ramp-up curve. But sufficient to say, it will have a very positive impact for us in 2026. But as I said, the maximum capacity down in Portsmouth is probably somewhere between 30 and 40 kilometers a year. And for us to grow into the full potential, there needs to be a capital investment in Brazil to pull that through. But that sort of should help you bracket the numbers in the near-term.
Ian Melling: And I think the final question was cash needs in China. Just very quickly on that one, Kevin. We don't see material needs for working capital or inventory in China at this point, and the CapEx has come right down now. So no significant incremental cash needs in China. We did actually grow inventory in China a little bit in the first half, which was part of the reason why the overall inventory decrease was not as big as there has been in the previous year.
Operator: Your next question comes from the line of Jens Lindqvist of Investec.
Jens Lindqvist: A couple from me. Just on the operating efficiency measures that you are implementing at the moment. Can you give a little bit more color on how they stretch into the medium-term in terms of available further savings or what OpEx could potentially trend towards over the medium-term as a percentage of sales? And secondly, on the Technip announcement, apologies if I missed this, but could you just confirm that this means that Petrobras are now committed to using Magma pipes or subject to technical performance? Or are they still also evaluating alternatives to PEEK? On Medical, I'm curious what is the main driver of that strong non-Spine performance, please? And you've previously indicated Medical as a proportion of overall gross profit will it could potentially trend to over the medium-term? Would be interested in your thoughts on that. And then very briefly, finally, you mentioned partnering discussions with top 5 Knee players. Could you give me a little bit more color on the scope of those discussions, please?
Jakob Sigurdsson: So I'll take Magma and Knee. So Technip announcement -- well, this now opens up the opportunity for Petrobras to start spending money on this program and also pave the way for future procurement. There are other technologies obviously available. I mean, current technologies include flexible steel types, but we know that they have certain issues. There are other ETECH programs probably in place also. But I do think that there is a high degree of confidence and certainly a high degree of desire on the customers' customers end to pull this through, and that gives a good level of confidence in the size of that opportunity. On other top 5 player, I think we can just state that, that interest is continues to grow for sure. I'm sorry not to be able to be more specific on that, but that will be one of the milestones that we'll be reporting on going forward, but 2 of the top 4 -- remember that Aesculap the top 5 has already signed on 2 of the top 4 are showing significant interest either directly or through a collaborating body, if you will. And I'm sure that on the new sort of approval in India and the first patient implant in U.S., which should happen in the next few weeks, then that will only increase that level of interest, Jens.
Ian Melling: Yes. And Jens, I'll try and cover your other questions briefly. So in terms of operating efficiency over the medium-term, where are we focused, so it's really across our cost base. We're looking at our efficiency. We're looking at how we leverage our digital assets, our new ERP system and other things, other digital assets around that, how we become -- can serve our customers more efficiently as a result of those. We're also looking at procurement savings as a big part of it. So do I expect to see dramatic reductions in overheads as a result of it? At this point, no, it's really about driving the -- driving to offset inflation, driving to keep overheads as flat as we possibly can and driving the top-line to then pull through the gross profit and leverage on those overheads as we grow the business. That's really how we're thinking about it at this point. In terms of what's driving Medical in the non-Spine areas, the answer to that is it's pretty broad-based. We have a Medical revenue outside of Spine, implantable medical revenue outside of Spine is higher in the first half than it was in the first half of our record medical year in FY '22. That's pretty broad-based. I will call out CMF as a bit of a star in that. So that's the school plates in particular, that have made patient-specific, and we have seen good growth in that area. But it is broad-based. It's across the other areas, cardio, arthroscopy, active implantables as well. So we're seeing strong growth again in the non-Spine business and with Spine declines being tempered, that should lead us to be able to drive the overall the overall business. In terms of medium-term targets for Medical, our target is to grow Medical in revenue terms faster than the rest of the business, and that should form a bigger portion of gross profits going forward. Obviously, there's timing in there as other mega-programmes come online as well. So it is a bit of a balance. But yes, growing Medical faster than the rest of the business is absolutely part of the plan.
Jakob Sigurdsson: Does that answer your question, Jens?
Jens Lindqvist: Yes, it is.
Operator: Your next question comes from the line of Christian Bell from UBS.
Christian Bell: So just a couple of questions from me. The first one, you're expecting similar sales result in second half '25 compared to second half '24 and what it looks like sort of similar volume and price, but at the same time, quite a significant uplift in gross margin for the second half. So what's the key reason for that uplift? And is it sustainable?
Ian Melling: So Christian, I think we've guided to a similar profit in the second half to the -- to the second half of last year. In terms of what's driving that, we do have in the second half compared to the first half, you will see higher volumes in the second half compared to the first half, and that's driven by, if you like, the normal seasonality in the business, a slight improvement in mix as we have slightly stronger Medical and a slightly more favorable mix in BSS in the second half, and that's what pulls through the gross margin assumptions in terms of the second half versus the first half that you see in our guidance. Does that help? Can I clarify further?
Christian Bell: Yes. So looking at your sort of the midpoint of your full year guidance of 46% gross margin, it kind of implies a gross margin of roughly around 48% in the second half '25. And that compares to 44% from the PCB?
Ian Melling: Yes. So I think it would be -- you would be looking at primarily mix. Remember, last year as well, the big drivers that we have year-over-year that remain are the efficiency in our manufacturing. So that was a pretty significant benefit in the first half and should be a similar benefit year-over-year in the second half as well as the raw material costs coming through. So those are both margin -- year-over-year margin positive and continuing to pull through because last year, we made significantly less. We're expecting a 20% increase in production levels this year, and our upgrades in volume just supports that efficiency in manufacturing.
Christian Bell: And then the second question was, you said there were some reasons to be optimistic on Spine improving in the second half. Are you able just to be a little bit more specific on that?
Ian Melling: I think we've seen -- it's based on what we see with customers in terms of things starting to stabilize. Some of the destocking, some customers who maybe have been buying less have indicated that volumes may increase a little bit in the second half. Again, I'm not guiding to sort of stellar Spine growth in the second half, but it's also an easier comp. I think in the prior year, where the Spine business was weaker in the second half last year. So it's really based on what we see with our customer base and some of the headwinds we've seen in the first half just starting to abate a little bit.
Operator: There are no further questions on the conference line. So I'd like to hand back to the management for closing remarks.
Jakob Sigurdsson: Well. So thanks for everybody for attending this morning, and we look forward to speak to you again when we come out with our Q3 update in the early part of July. Thank you very much.